Operator: Good afternoon, and welcome to Hannon Armstrong Sustainable Infrastructure Capital's 2013 First Quarter Earnings Conference Call. Management will be utilizing a slide presentation for this call, which is available now for download on Hannon Armstrong's Investor Relations page, investors.hannonarmstrong.com. [Operator Instructions] As a reminder, this conference is being recorded.
 At this time, I would like to turn the conference call over to Steve Chuslo, General Counsel at Hannon Armstrong. 
Steven Chuslo: Good afternoon, everyone. By now, you should have received a copy of the earnings release for the company's first quarter 2013 results. If you have not, a copy is available on our website at www.hannonarmstrong.com. Today's speakers are Jeff Eckel, Chief Executive Officer; and Brendan Herron, Chief Financial Officer.
 Before we begin, I would like to remind you that some of the comments made on today's call are forward-looking statements and within the meaning of Section 27A of the Securities Act of 1933, as amended, and Section 21E of the Securities Exchange Act of 1934, as amended. For these statements, the company claims the protections of the Safe Harbor for forward-looking statements contained in such sections.
 The forward-looking statements made on this call are subject to the risks and uncertainties and include information about possible or assumed future results of the company's business, financial condition, liquidity, results of operations, plans and objectives. The forward-looking statements are based on the company's beliefs, assumptions and expectations of its future performance, taking into account all the information currently available to it. Except as required by law, the company is not obligated to and do not intend to update or revise any forward-looking statements whether as a result of new information, future events or otherwise. These statements are subject to the risks and uncertainties described in the Risk Factors section of the company's Form 10-Q and other filings with the SEC. Actual results may differ materially from those described during the call. In addition, all forward-looking statements are made as of today and the company does not undertake any responsibility to update any forward-looking statements based on new circumstances or revised expectations.
 I would now like to turn the call over to Jeff Eckel, the Chief Executive Officer. 
Jeffrey Eckel: Thanks, Jeff (sic) [Steve], and good afternoon, everyone. I didn't expect technical difficulties in the first quarterly call, so this is a good test. I'd like to welcome you all to Hannon Armstrong Sustainable Infrastructure Capital's First Quarter 2013 Earnings Call. I'm joined on today's call by Brendan Herron, our Chief Financial Officer; and Nate Rose, our Chief Investment Officer.
 I believe the announcer, Jen, said the material is on our website, and we've issued a press release today.
 I'd like to start off the call by providing some introductory comments about our recent IPO and, more importantly, the progress we've made deploying capital since completion of the IPO. Then, I'll turn the call over to Brendan, who will discuss the Q1 results for our predecessor company. And finally, I'll come back on to walk you through our company in more detail and walk through the slides, and we'll wrap up by taking questions.
 We're very pleased to be hosting our first earnings call as a publicly-traded company following the successful completion of our IPO last month. We sold 13.3 million shares and raised $155 million in net proceeds after underwriting discounts in the initial offering. And the underwriters’ option adds an additional $9.5 million net to our capital. We intend to lever our equity on a 2:1 basis and deploy our capital by financing sustainable infrastructure projects. The offering was the culmination of a lot of hard work over the last few years, and I'd like to thank the many people involved, including our staff, who thankfully were working hard when the 3 of us were on the road; our clients; and our financing partners. And a very special thank you to our many new investors who spent the time learning the Hannon Armstrong investment story and making an investment in our company.
 We've been very active during the 30, I guess, 33 days since our IPO. We've already closed approximately $109 million in transactions, including approximately $48 million of the initial $110 million portfolio that we discussed in the prospectus, as well as an additional $61 million of transactions that were not specifically identified in the prospectus, but were opportunities that reflect the power of our origination platform. As described in the Use of Proceeds section, we also applied $3.7 million to retire an existing credit facility. We continue to work to close the remaining $62 million of investments from the initial portfolio. Between these transactions we've closed and the remaining initial portfolio transactions that we will hold on the balance sheet totaling approximately $150 million, we will have an average weighted unlevered yield in excess of our target of 5.5%. Thus, we are performing well against origination targets. We also continue to add transactions to our pipeline. In summary, we expect to have invested most or all of our cash and have bank credit agreements in place by the end of the June quarter.
 Shifting to the dividend. We remain on track to pay our first following our first quarter of operations for the quarter ended June 30, and intend to grow the dividend in subsequent quarters as additional capital is deployed. We're targeting a distribution of virtually 100% of our cash income to shareholders. We believe the timing was right for Hannon Armstrong to go public from a strategic standpoint, and we're very excited about our future prospects in the public markets.
 With that, I'd like to turn it over to Brendan to discuss the Q1 results. 
J. Herron: Thanks, Jeff. As required under SEC rules, we filed a 10-Q today for the results of operations for Hannon Armstrong Capital, LLC, which is our predecessor company. Under SEC rules, we'll be reporting these first quarter results and our year-to-date numbers all year, and we'll be showing comparative numbers against the same period and year-to-date last year for the predecessor. The first quarter results and the comparative last year results are pre-IPO and do not reflect the enhanced business model that Jeff just described. Thus, these figures are not a good measure of our earnings potential or the results of our business post-IPO.
 For the quarter ended March 31, the predecessor reported investment revenue from financing receivables of $2.7 million versus $2.6 million in the same period last year. After backing out investment interest expense, net investment revenue was flat at $500,000. The net investment revenue pre-IPO is purely the recognition of our fee income on our match-funded on balance sheet transactions. Going forward, you will see the investment revenue grow from the deals Jeff described and other deals we put on the balance sheet. As we will be financing those transactions with a combination of our new debt facilities and equity, we expect to see net investment revenue grow significantly. For example, the $109 million of deals Jeff announced earlier will generate over $1.5 million per quarter in investment revenue, and we'll be growing that revenue number as we continue to grow assets and deploy capital.
 On the fee side of the business, other investment revenue declined to $0.3 million from $1.5 million in the same period a year ago. The decline is largely due to the lack of any securitization transactions in the quarter. This is a good example of why a fee-only business would be a difficult public company with the natural lumpiness of infrastructure investing, and why the -- how building up assets will give us additional interest revenue and also smooth out our earnings.
 In addition to the timing of the deals in the quarter, we were obviously focused on completing the IPO and establishing the initial portfolio. In summary, total revenue net of interest income expense fell to $800,000 from $2 million in the first quarter of 2012.
 Our expenses were largely flat after adjusting for the $300,000 loss in 2012 from an equity investment no longer held by the predecessor. Consistent with our expectation, the net loss for the quarter was $1.2 million in 2013 as compared to a $0.3 million loss in the same period last year. There were no material changes in the balance sheet, and cash declined by $4.7 million to $3.3 million as a result of the loss and payments of $500,000 for the existing credit facility and approximately $3 million for IPO expenses and other accrued liabilities.
 Two other things, on a share count, after the underwriters' option and including the restricted stock and the operating partnership units that convert on a 1:1 basis, we will have 16,985,842 shares outstanding. Also, as a reminder, as reflected in the prospectus pro forma, we will incur in the June quarter a noncash, onetime compensation charge of approximately $5.8 million resulting from the reallocation and issuance of equity to management in the formation transaction. This charge, which is required by GAAP, has no impact on the share counts above.
 With that, I'll turn the call back to Jeff, who will further describe the business. 
Jeffrey Eckel: Thanks, Brendan. As this is our first public call and some of you may not have had the opportunity to hear our story during the roadshow, I want to take some time to provide an introduction to our company. And if you have access to the slides on the website, I'll refer to them occasionally. First, some background.
 Hannon Armstrong is a 32-year-old specialty finance company that provides capital, mostly debt, for sustainable infrastructure projects. We have financed our business historically through securitizations and syndications which generate fees. After the IPO, we'll hold more assets on our balance sheet, but we will continue to securitize and syndicate transactions. We think it's a very scalable business that leverages our existing client base of Global 1000 companies. Since 2000, we've done about $4 billion of transactions in approximately 450 individual transactions. We truly believe in the financial merits of sustainable infrastructure, and our management team has dedicated our careers to the sustainable infrastructure industry.
 We are delighted to have completed the IPO, which provided our company with capital and, in turn, introduced a new asset class to institutional and retail investors. We expect to generate an attractive risk-adjusted yield with a roadmap to getting above 7% by year end. That yield will be earned through the cash flows that stem from projects that use proven technologies and our financed using proven financial structures. The cash flows are generated from high credit quality obligors to fully-contracted, life-of-investment revenue streams, and all of this is in the U.S. market for sustainable infrastructure, which we believe is large and growing.
 This is, importantly, an internally-managed business, which means our management team is fully aligned with shareholders, with management owning over 8% of the business.
 Looking at our assets, we finance proven technologies like HVAC, lighting, power generation and fiber optic systems. To be clear, we finance projects. We are not taking new technology risks or manufacturing risk, no salinders [ph] or A123 type [ph] risks in our portfolio. The stuff that we are financing is the backbone of a modern, sustainable economy.
 And a few words on sustainability. The projects we finance are negative to neutral on carbon emissions. That's a very important piece for us, particularly now that the average daily level of CO2 has crossed the 400 part per million threshold as reported last week from Hawaii. It is increasingly clear how important this investment principle is.
 I'd like to provide 2 examples of the types of projects we work on. First off, on the energy efficiency side, we previously financed a project at the U.S. Army base at Fort Bliss, a very important base for the U.S. government, covering nearly 1 million acres in El Paso, Texas. Our client on this project is Johnson Controls. They go into the space and engineer a solution for the Army with HVAC controls and a few other pieces of equipment that save the Army money on their utility bill without dipping into congressional appropriations. The Army pays us back for the money we've given to Johnson Controls through the savings generated from the project.
 Historically, we've financed this type of project through our Hannie Mae securitization that we completed in 2000. And that structure sells notes to institutional investors, basically, household name insurance companies, and they give us their highest insurance company rating of NAIC 1. And that's reflective of a very tightly structured transaction.
 Turning to the other side of the page of Slide 7. A good example on the clean energy side is the geothermal project we closed in 2012. This project is in California and is basically using decades-old technology to drill deep into the earth, bring the heat that's latent at the 10,000-foot depth, turn that into steam, use the steam to rotate a turbine and generate electricity. Our role in the transaction was to syndicate the senior debt for the transaction. We syndicated a $313 million deal with 4 institutional investors. It's a 30-year debt obligation, 6 1/4% coupon rated BBB- by S&P. Now the ability to finance this type of project and get a strong credit rating on the project is due to offtake agreements with a AA+ rated ministry utility that's buying their power on a take-or-pay basis. These 2 projects are really good examples of what we've done in the past. They're also exactly what we're going to do going forward. We have a follow-on project at Fort Bliss, and we will bring a sister geothermal project to market in the fall.
 Let's discuss the credit story on these projects. In my experience, one gets paid back as a lender when you deal with good credits and when the projects are essential in nature. And both of those features, we think, are very important in the kinds of projects we do. Our obligors are the traditional providers of infrastructure services, federal, state and local governments, universities, utilities, et cetera. The projects are economically viable. They have an inherent economic value, often generating their own source of repayment, such as savings from an upgraded HVAC equipment. The fully-contracted revenue stream is really something that we haven't seen in other REITs and certainly not combined with the credit quality we have. It's as if you are an investor in a commercial office building with 100% of your tenant leases signed up for the life of your investment with an investment grade-rated tenant. We're not talking about a 1-year lease or a 5-year but a life-of-the-investment horizon, 10 years, 20 years, 30 years. Certainly, a very helpful feature in getting paid back.
 Finally and importantly, this is essential infrastructure. This is stuff people need in their day-to-day lives. It's not necessarily stuff that is fashionable or stylish, it's simply essential. Reinforcing the good credit story are the drivers of why participants do the transactions. From the obligor's standpoint, we're a substitute for scarce appropriations. State and local governments don't have to defer maintenance of physical plant to avoid laying off teachers or police, not when they use financing from Hannon Armstrong.
 For our Global 1000 clients, very much like these transactions so that they can get revenue recognition. Basically, with these structured transactions, they're able to book the margin once they've completed construction, and there's no balance sheet impact. From our historical investor base, they have always appreciated the tight focus on structure and the quality counter-parties we deal with.
 I mentioned that the market is large and growing. There are 2 real trends here: Infrastructure needs in the U.S. are great, and I think everybody has an intuitive sense of that; and the traditional funders are quite limited, and I think you get a sense of that from federal government sequester and state and local government budget woes. So the good news is the market is growing and we have a tremendous opportunity to scale our business.
 Hannon Armstrong's clients are the Global 1000, such as Johnson Controls and Honeywell and Chevron. These are companies that we have generally had relationships with for over a decade. They're in the federal market, they're in the state and local market and, increasingly, they are in the utilities market. We have a long-standing history with them, and we generate transactions through this origination platform. The Global 1000 companies want 3 things from Hannon Armstrong. First, they want really good execution. Their job is, frankly, a lot tougher than ours, in that they have to go out and build these projects. And when they spend the time and the money to sell the projects, they want assurance that the transactions will close as scheduled. Second, they want competitive pricing. Clearly, these are all investment-grade entities with their own financial resources, and we have to compete against those resources. And finally, they want to achieve revenue recognition. That's -- they'd rather not do a deal than have it go on their balance sheet, in our experience. The IPO allows us to grow with our clients and provides the opportunity to finance a broader range of transactions that they are selling.
 One of the things that we have -- very important to our asset management group is $1.6 billion of assets under management, and it gives us 2 things. By having an asset management group, it generates servicing fees, basically monthly revenues, as well as provides the opportunity to finance modifications and expansions of the original projects. So for example, in the Fort Bliss project that we talked about, we financed the original project a few years ago and are now in the position to get the follow-on project. That's just one example of how these long-term relationships provide a competitive advantage.
 Turning to the numbers, the business model is relatively simple. We've raised approximately $165 million through the IPO. And we're going to lever that 2:1. We're putting that money to work over 3 to 5 quarters. And on the leverage, we have a credit facility that is being finalized and it will provide the majority of our leverage in the near term.
 We'll continue to do securitizations that generate cash and gain on sale income that enhance our yield. And longer term, we plan to use asset-backed debt and, eventually public debt, which will allow us to drive down our cost of funds and increase our interest spreads.
 The assets that we expect to originate going forward are very similar to what we've historically originated. We put them in 3 classes: energy efficiency, clean energy and sustainable infrastructure. These are the asset classes that we've been transacting in for at least a decade. The only major difference between our historical portfolio and future transactions is we expect growth in the other sustainable infrastructure category -- in large part because of the tremendous needs in areas like water and waste water, where we think there's some really great opportunities.
 As I mentioned, we closed $109 million of transactions and expect additional closings by the end of the quarter. We also have syndication mandates for $2.4 billion, $1.7 billion of which we expect to close by 2015. Those syndication mandates each generate about a 1% fee to Hannon Armstrong, and that's a sizable fee income stream that we should have over the next couple of years.
 To build up our yield on an unlevered basis, our assets generate about 5.5%, and that was specific -- statistic, excuse me, that I mentioned at the outset that the initial portfolio exceeds. The fee generation largely offsets our SG&A expenses. Because we're internally managed, as we grow our portfolio, our SG&A cost should fall as a percentage of assets. If you back out the interest expense on our leverage, you achieve about a 3% unlevered return. And on a levered basis, you get to about 9% return on assets. If you then put that on top of a market cap to get what an investor would earn, you get to the approximately 7% dividend yield that we talked about.
 We think our expected yield compares favorably to other alternative investments. If you look at the unlevered return -- excuse me, the pages are out of order here, one moment. Unfortunately, they're not numbered. Anyways, if you look at the expected unlevered return on assets, our 5% return compares favorably across most public bond alternatives up to even a B-rated bond yield. But the thing to remember is that our lost history is much more like AA-rated bonds, so a tremendous spread over comparable public bond yields. We're able to generate these attractive spreads given our access to unique projects, a premium for structuring of small deals and, finally, the experience and expertise of our management team.
 If you look at the expected yield of our stock by the end of the year, we compare favorably against alternatives for investors, such as infrastructure funds, MLPs, triple net leases and specialty REITs. We only see comparable yields in other specialty finance investments such as BDCs. But with BDCs, one has a much lower credit quality and much higher economic sensitivity. Plus most of those other companies are externally managed, whereas we are internally managed, meaning the real franchise is owned by our stockholders.
 Our assets have low economic correlation due to the long-term contracted revenues and the fact that we don't take volume risks on our projects. Inflation will, in many cases, actually increase the attractiveness for these types of products that we provide. The large pension funds and the sovereign wealth funds have realized this and have allocated the -- increased their allocation to about 7% of their portfolios.
 Before we open up the -- to summarize our business, we expect to earn over 7% yield with high credit quality projects, growth potential and low economic correlation. We believe we are well-positioned as the first mover in this asset class and expect to build a very large business. Before we open up the call for questions, we'd like to provide some thoughts on how we manage and evaluate our performance, so that may help you in some of the questions you ask. We focus on a blended portfolio of assets. That means while we have targeted asset classes, we focus on the best opportunities that drive our target unlevered yield of 5.5%. We've been in this business a long time and know that if you have your heart or quarter set on any one deal closing, you're likely to have your heart broken. Thus, we focus on having a large number of transactions in our pipeline that provide 2 to 3 or even more times coverage on our origination target for any given quarter.
 Originations will move around as we saw in the March quarter, and thus, anyone's quarter's originations may not be reflective of the year. But most of these infrastructure projects move out in time. They don't get canceled. They don't -- they do get delayed occasionally. This will be especially true as we continue to grow the assets. We also focus on managing our debt levels and interest rate exposure. And finally, we work to largely offset SG&A with fee income. When these factors are in place, along with a plan to pay a dividend of close to 100% of free cash flow, the attractiveness of our risk-adjusted yield will be transparent. For competitive reasons, we do not intend to provide quarterly updates that include specific project examples, just not good for our business. But the portfolio will be built from many transactions, and with the deep markets for each of the target asset classes, it is our job to manage the portfolio. Remember, we own a large portion of this internally-managed company, so we're fully aligned with shareholders.
 With that, we'll now open the call up for a few questions. Thank you. 
Operator: [Operator Instructions] Our first question comes from the line of Vivek Agrawal with Wells Fargo Securities. 
Vivek Agrawal: I had a question around the $109 million that you closed in the quarter. The $61 million that was outside of what was provided in the initial investment, can you give us a breakdown of the buckets of the composition of that? 
Jeffrey Eckel: We've hit all the buckets. We prefer to not, given the information that's out there, to talk -- I think, some observers could figure it out and those are probably the ones we compete with. But generally, the business is developing as we expected it would. We're seeing deals at all asset classes, and they will all close in due time. 
Vivek Agrawal: And then, I guess, secondly, around your pipeline, is it fair to assume that it's in the buckets that you have provided as your targeted portfolio? 
Jeffrey Eckel: Sure. It doesn't get onto our pipeline unless it's prescreened and fits into our investment thesis. So there are deals we see that -- they should be good deals for somebody but they're not our kind of deal, so absolutely. 
Vivek Agrawal: Right. And lastly, on your prepared remarks, you talked a little bit about water and wastewater type of projects. I guess that was a little bit higher than what you had put out in the prospectus, is that -- I assume that's something that you find a little bit of -- find more interest in. Is that's something that is also more competitive relative to the other buckets? 
Jeffrey Eckel: I don't think there's any difference in what we presented in the prospectus or on the roadshow in the sense that we didn't provide a lot of detail on any of that. But any of the studies that look at U.S. infrastructure are very clear that this is one of the classes that will need just a substantial amount of investment. And so I'm not exactly sure what you're pointing to -- maybe, Brendan, you have... 
J. Herron: So, Vivek, I think the numbers in the roadshow -- I mean, the prospectus are the historical-managed portfolio, and I think Jeff was quoting in the slide kind of the couple year out target. So what we see is a growth in other sustainable over the next couple of years. We think there's an opportunity there to grow that category. So we expect that to grow from about 9% or 10%, as was listed in the prospectus, to approximately 20% to 25% of the portfolio as we move forward. 
Operator: [Operator Instructions] Our next question comes from Arias Kellier [ph] with Iron Bank. 
Unknown Analyst: I'm intrigued by one comment that you made to the effect that many of the projects that you fund would actually benefit from inflation. I was wondering whether you could elaborate a bit on that and also just touch on a bit of the tools that you use to manage interest rate risk in your portfolio? 
J. Herron: Sure, this is Brendan. So on the inflation, one of the things that we do is we replace commodities. So if you think about energy efficiency, for example, we're replacing electricity. In other places, we may replace natural gas, and in some of the resource recovery type work, we actually replace other commodities. So as the value of those commodities go up, so as electric prices go up, for example, there's -- because we're replacing and basically locking in the value, there's a further benefit to the participant. And that's one of the things that the, for example, the government organizations find very helpful is that when we are doing an energy efficiency project, we are effectively allowing them to lock in their energy bill for the next -- for the life of the project. And by doing that, they get kind of a levelized payment, so they're not exposed then when there is inflation in those areas. And as far as interest rate hedging, I think as we've talked to various people on the road and things, there's a couple of things to think about in interest rate. First of all, because we continue to originate in all interest rate environments, the originations will kind of act as a bond ladder. We'll also have a blend of fix and floating on the asset side, and then finally on the liability side, we anticipate that we will either hedge in some way, either capture swaps or the portfolio on the debt side, so that we fix out the cost of the debt. Given the current interest rate environment, it's relatively inexpensive to fix out cost of debt. And then longer term, we're going to be looking at doing more asset-backed securities and public debt securities, and we expect that both of those would be more term -- fixed-term type facilities. So that, again, would allow us to fix out the cost of the debt side. 
Operator: [Operator Instructions] 
Jeffrey Eckel: All right, thank you. I appreciate your interest in Hannon Armstrong, and we look forward to getting back on the phone with you in another 3 months. So long. 
Operator: Thank you. Ladies and gentlemen, this concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.